Operator: Ladies and gentlemen, thank you for standing by. And welcome to the SJW Group First Quarter 2025 Financial Results Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would like now to turn the conference over to Ann Kelly, Chief Accounting Officer. Please go ahead.
Ann Kelly: Thank you, Mitchell. Welcome to the first quarter 2025 financial results conference call for SJW Group. I will be presenting today with Eric Thornburg, Chair of the Board, President and Chief Executive Officer; Andrew Walters, Chief Financial Officer and Treasurer; Bruce Hauk, Chief Operating Officer and Kristen Johnson, Senior Vice President and Chief Administrative Officer. For those who would like to follow along, slides accompanying our remarks are available on our website at sjwgroup.com. Before we begin today, I would like to remind you that this presentation and the related materials posted on our website may contain forward-looking statements. These statements are based on estimates and assumptions made by the company in light of its experience, historical trends, current conditions and expected future results as well as other factors that the company believes are appropriate under the circumstances. Many factors could cause the company's actual results and performance to differ materially from those expressed or implied by forward-looking statements. For a description of some of the factors that could cause actual results to be different from statements in this presentation, we refer you to the financial results press release and to our most recent Forms 10-K, 10-Q and 8-K filed with the Securities and Exchange Commission, copies of which may be obtained on our website. All forward-looking statements are made as of today, and SJW Group disclaims any duty to update or revise such statements. You will have an opportunity to ask questions at the end of the presentation. This webcast is being recorded, and an archive of the webcast will be available until July 21, 2025. You can access the press release and the webcast at SJW Group's website. In addition, some of the information discussed today includes the non-GAAP financial measures of adjusted net income and adjusted diluted earnings per share that have not been calculated in accordance with generally accepted accounting principles in the United States or GAAP. These non-GAAP financial measures should be considered as a supplement to the financial information prepared on a GAAP basis rather than an alternative to the respective GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are presented in the table in the appendix of our presentation. I will now turn the call over to Andrew.
Andrew Walters: Thank you, Ann. Welcome, everyone, and thank you for joining us. I am honored to serve as Chief Financial Officer and Treasurer of SJW Group. And I'm looking forward to becoming the Chief Executive Officer following Eric Thornburg's planned and well-deserved retirement on July 1. I want to add my sincere gratitude to Eric for his leadership and fellowship over the years. I look forward to continued partnership with Bruce, Kristen, Ann and Willie and my colleagues at SJW Group, as we chart our course for a journey of continuous improvements and excellence through servant leadership. I'm pleased to share that in the first quarter of 2025, we continue to meet drinking water and environmental regulations, deliver on our public health and environmental stewardship commitments and provide high-quality water and service to customers. We also delivered strong financial results, including a nearly 41% increase in net income from the first quarter of 2024 on a GAAP basis. Our performance reflects our continued execution of our proven growth strategy, focused on investments in our infrastructure and water systems across our national footprint and constructive engagement and consensus building with key local stakeholders, all with an eye on affordability. Some highlights from the first quarter. San Jose Water's 2025 to 2027 general rate case was delivered on time and was effective on January 1. Connecticut Waters, water infrastructure and conservation adjustment and water revenue adjustment filings were approved. Maine Water's petitioned to unify our 10 different rate districts and our rate case for the Camden Rockland division are progressing before the main Public Utility Commission. Texas Water's second system improvement charge applications before the Public Utilities Commission of Texas. In quarter one, $78 million was invested in water and wastewater utility infrastructure across all 4 states, and we are on track to meet our 2025 capital plan. Importantly, we continue to create long-term shareholder value with earnings per diluted share of $0.49 and adjusted non-GAAP earnings per diluted share of $0.50 in the first quarter. And as you will hear later, we remain laser-focused on operating efficiency. And we recognize colleagues at each local operation for their contributions to our safety culture. As expected, 2025 looks to be a strong year for SJW Group, as we build on our foundation for sustained growth and long-term value creation and I want to thank our talented team across the nation for making that happen. The completion of successful general rate cases in our 2 largest jurisdictions in 2024 has reduced potential regulatory risk for the next couple of years. These 2 states generated 90% of our water utility services net income in 2024. Our 2025 capital plan is a 34% increase over 2024 actual spend. We don't foresee any significant issues from current US economic conditions. The vast majority of our supplies are domestic with some used components and materials from other countries. The leadership transition Eric announced last quarter is progressing smoothly. Our new team is complete with the exception of a new Chief Accounting Officer to assume Ann's duties as she becomes our new Chief Financial Officer effective July 1. Kristen will also share details about the newest impactful leader who just joined our team last week. Our long-term growth strategy beyond 2025 will continue to focus on timely recovery of a robust $2 billion 5-year capital plan that is needed to maintain reliable service and high-quality water, as well as solid regulatory relationships that are built on outcomes that serve customers and capital providers. While not in our baseline growth plan, we will continue to pursue opportunistic acquisitions that benefit our customers and make financial and strategic fit. We will do that with a focus on financial discipline and a steadfast commitment to affordability. We are leveraging our scale, operational efficiencies and technological advancements to manage costs, while providing for our systems to remain robust, resilient and reliable. As evidence of our financial discipline, S&P raised the credit outlook for SJW Group to stable. We will continue to focus on important credit metrics, as we are committed to maintaining our A category credit rating. We will discuss all this in more detail later in the call. But for now, let me turn the call back to Ann to take you through our financial results.
Ann Kelly: Thank you, Andrew. Yesterday, after the market closed, we released our first quarter operating results. As Andrew mentioned, we are pleased to report $0.49 of GAAP diluted EPS and $0.50 adjusted diluted EPS for the first quarter. With these strong first quarter results, we are affirming our 2025 guidance range of adjusted diluted earnings per share of $2.90 to $3. We are also affirming SJW Group's 5% to 7% earnings growth rate through 2029, and we expect to be in the top half of the range. Turning to Slide 9. In the first quarter, we reported revenue of $167.6 million, a 12% increase over the $149.4 million reported in 2024, primarily reflecting the rate increases in California and Connecticut that Andrew referred to. This increase in sales along with prudent cost management, resulted in GAAP net income of $16.6 million, which increased 41% over 2024 and adjusted net income was $16.7 million, a 43% increase over the prior year. We also reported a 39% increase in our adjusted diluted EPS of $0.50. The factors impacting 2024 earnings per share are shown on Slide 10. At a high level, increased revenue from rates and usage drove a revenue increase of $0.41. The revenue increase was partially offset by higher water production expense of $0.16, other operating expense of $0.06 and an increase in interest expense of $0.02 and an additional $0.02 due to an increase in the number of shares outstanding. Turning to the next slide, I'll provide more detail on each of these areas. As I mentioned earlier, our revenues increased 12% in the first quarter. Rate increases from the general rate cases in California and Connecticut, along with increases from our infrastructure mechanisms in Connecticut, Maine and Texas contributed $11.9 million to the revenue increase. $5.3 million is attributable to pass-through water cost for our wholesalers as these costs continue to increase each year. Higher customer usage added another $1 million as increased usage in California more than offset a reduction in Texas due to the increasing severity of the drought. And revenue increases associated with new customer growth was offset by a reduction in regulatory mechanisms. With the new rate case in effect in California and lower authorized usage, we would expect regulatory mechanisms to be less pronounced in the current rate structure. Water production expenses increased 14% in the quarter and was primarily driven by an increased cost of $5.6 million from our water wholesaler. However, these costs are largely offset in revenue and $2.4 million in expense associated with higher production volumes. For the quarter, we reported a 4% increase in other operating expenses. General and administrative expenses increased $2 million, primarily driven by customer credit losses and insurance costs, along with $800,000 increase in maintenance costs and $200,000 of other cost increase. On the financing side, in the first quarter, we raised approximately $27 million of our $120 million to $140 million expected annual equity proceeds through our at-the-market program, or ATM. At the end of the quarter, we had $153 million drawn on our $350 million bank lines of credit, which left $197 million available for short-term financing of utility plant additions and operating activities. We were also pleased to see that the average borrowing rate for our line of credit advances in the first quarter was approximately 5.47% compared to 6.54% in the prior year. And on the tax front, consolidated income tax rates were pretty steady quarter-over-quarter with a 1% increase in our effective tax rate, primarily due to higher pre-tax earnings. Turning to Slide 15. In addition to affirming our long-term growth rate and EPS guidance mentioned earlier on the call, we are also affirming equity issuances of $120 million to $140 million planned through our ATM, excluding any acquisition growth and our $473 million capital plan in 2025. We are now seeing construction activity pick up with the return of warmer weather, especially in Connecticut and Maine. And lastly, I'd like to take a moment to reiterate our long-term targets. We are affirming our 5% to 7% long-term growth rate and continue to expect to be in the top half of the range. We have established a robust five-year $2 billion capital plan, and we continue to focus on our credit metrics with a target FFO to debt of 12% by 2028, which will give us 100 basis points of cushion over our 11% downgrade threshold from S&P. And with that, I will turn the call over to Bruce to discuss the state updates.
Bruce Hauk: Thank you, Ann. As Andrew mentioned earlier, new rates went into effect for San Jose Water on January 1, 2025, as planned. The new rates support $450 million in capital expenditures for the three years covered by this general rate case and $53.1 million or 9.4% total revenue increase at the 2025 through 2027 authorized sales and customer forecast. We will also see greater revenue recovery through the service charge now at 48% and further alignment of authorized actual usage through a lower sales forecast. The approved 2025 rate increase is $21.3 million or 3.91%. The annual step increases for 2026 and 2027 are $14.4 million and $17.4 million, respectively. I also want to note that our ongoing advanced metering infrastructure project is separate from the GRC capital plan. AMI is a $100 million project with the bulk of the spending planned for 2025 and 2026. Our spend for this project will be recovered via annual rate base offset filings with the California Public Utilities Commission to become effective on July 1. We anticipate filing for recovery in May 2025 for rates effective July 2025, and I will share more details during the second quarter call. Turning to Connecticut. Last month, the Connecticut Public Utilities Regulatory Authority authorized a $1.6 million revenue increase in the company's water infrastructure and conservation adjustment. The increase was effective on April 1. The cumulative WICA surcharge is now 4.9%. PURA also approved Connecticut Water's proposed annual reconciliation of the water revenue adjustment to collect the 2024 revenue shortfall. The approved adjustment reconciled 2024 revenues as authorized in Connecticut Water's June 2024 general rate case and provides for recovery of an additional $627,000 as a result of achieving performance metrics established by PURA in the 2024 GRC decision. The amount is prorated and only covers the period between July 1, 2024 and December 31, 2024. The performance-based revenue opportunity for a full year is approximately $1.1 million. Connecticut Water has applied for approximately $19.4 million and drinking water state revolving fund loans. That the company plans to use for water system improvements and a lead service line identification program. Sara issued a proposed final decision on April 11, 2025, approving our request. A final decision is forthcoming -- taking advantage of lower interest loan programs when they make sense is another way we work to maintain affordability for customers. We are continuing to work with state lawmakers and regulators on a with-a-like mechanism called the water quality and treatment adjustment that would allow cost recovery for water treatment and remediation infrastructure between general rate cases. If enacted, it would help smooth rate impacts for PFAS compliance by distributing costs more predictably over time. The bill has been voted out of committee, we expect a decision on the WQTA by the time the Connecticut legislature adjourns on June 4. We in Maine, our petition to unify the company's 10 different rate districts into a single tariff is pending before the main Public Utilities Commission. If approved, it would streamline general rate case and water infrastructure charge application, which are currently filed on a district-by-district basis. A decision is expected in the fourth quarter of this year. Our general rate case for the Camden Rockland division is also pending before the PUC. We are requesting a revenue increase of $1.1 million or 15.9% above current authorized revenue. A decision is expected in this quarter. In our Texas service area, we have been experiencing significant and persistent draw. As we discussed on our last call, we have a multi pronged approach to make our Texas water more resilient in this quarter. As we discussed on our last call, we have a multi-pronged approach to make our Texas water systems more resilient to weather extremes so that we can enhance system reliability and availability of water supply for our current customers. Our highest priority is bringing the 6,000 acre feet of water supply online from our KT Water acquisition to serve customers by the end of 2026. However, this is a multiphase, multiyear project that requires approximately 6 miles of transmission main, storage and pump stations. This project represents a significant investment that is reflected in our capital budged. Turning to regular, Texas water second system improvement charge application was pending before the Public utilities commission of Texas. We have request 4.1 million in revenue. A hearing was held on our application last month and we could see a decision as a early as this quarter With that, I will turn the call over to Kristen.
Kristen Johnson: Thank you, Bruce. Turning into slide 22. As Bruce mentioned, our capital investments are increasing to meet higher water quality standards and evolving customer expectations. At the same time, we know affordability is essential. Our customers don't have unlimited resources. And we're committed to ensuring every dollar we invest delivers maximum value. That's why we're laser focused on efficiency, scrutinizing every aspect of our business to ensure we're operating as effectively as possible. By leveraging our national scale and optimizing operations, we're creating the financial flexibility needed to support these critical investments, while helping to moderate future rate increases. One of the biggest opportunities to improve efficiency is through business transformation. As we continue to enhance our operations, we are investing in standardized enterprise-wide platforms to drive efficiencies, improve service and support long-term growth. A key part of this effort is to transition to a unified customer service system, which will mean faster, more efficient service for customers, a more resilient workforce, where employees can support operations across different locations and ultimately improve service reliability. And as you heard earlier, we're investing in Advanced Metering Infrastructure in San Jose and the majority of our customers in Texas are already experiencing the benefits of this technology. AMI will reduce operating costs, improve billing accuracy, enhanced leak detection and generate long-term savings for both our customers and our company. We are currently considering the development of AMI, in Connecticut and Maine. These technology advancements aren't just upgrades. They're part of our broader strategy to drive efficiencies that translate directly into cost savings for customers and long-term system resilience. A strong execution strategy requires strong leadership and we continue to build a world-class team. Last week, we welcomed another highly accomplished leader to SJW Group. Ken New is our new Chief Human Resources Officer. She joins us from Avangrid, where she recently served as Vice President of Rewards and Employee Experience. Ken brings deep expertise in human resources, and I know she'll make a positive impact on our people and our culture. And with that, I'll turn the call over to Eric.
Eric Thornburg: Thank you, Kristen. We continue to prioritize building a culture of safety, because protecting our people and the communities we serve is foundational to everything we do. Whether our employees are in the office, in the field or at a construction site we want them to return home safely each day. And we want the public to feel confident that the work we do is being done with care, integrity and safety top of mind. Safety isn't just a checklist. It's really a mindset. And when your team understands how essential water is to the health and strength of the community, it can be tempting to jump in and solve problems quickly. But we know, that doing things the right way, sometimes means slowing down, assessing risk and putting safety first. In March, our State President of National Leadership Team recognized four employees whose actions protected co-workers, contractors and community members alike. These included Exercising Stop Work Authority, requiring contractors to follow safety tailboards and taking the time to educate others on the consequences of unsafe practices. As I close my final earnings remarks as CEO, I want to express how proud I am of this team, the care you bring to your work each day, your integrity, your discipline and your heart is what makes this company special. We talk often about our purpose to protect what's precious. That means water, yes, but it also means people, our employees, our customers and the communities who count on us every single day. And now, I'll turn the call back over to Michelle for questions.
Operator: Thank you. [Operator Instructions] And the first question is going to come from Richard Sunderland with JPMorgan Securities. Your line is now open.
Richard Sunderland: Hi. Good morning. Can you hear me?
Eric Thornburg: Yes, we can Richard. Thanks for joining us today.
Richard Sunderland: Great. Thanks Eric. And best of luck with the retirement here. I know it's not quite the end for you yet, but the last earnings call, so best of luck.
Eric Thornburg: Yes. Thank you, brother. I appreciate that very much.
Richard Sunderland: So just trying to unpack the results a little bit and thinking about both revenue uptick on the quarter and I guess the Texas drought impacts to the business as well. Are you able to frame kind of where you're trending relative to guidance for the year? Is this a matter of kind of the rate impacts, particularly California and the fixed charge there? And is there any offset to Texas? Or are you trending kind of ahead in any areas? Thank you.
Ann Kelly: Yes, I'll take that. Thanks. I would say we are trending right on plan for this year and in connection with our guidance, so still expect to be in the $2.90 to $3. A couple of things just to talk about this year versus being some other quarters. As you mentioned, we do have full year rate cases. So for California and Connecticut, we both have a full year starting in Jan 1. So that is helpful. We do have a little bit more front loading this year compared to previous years. The WCMA, which is the adjustment mechanism in San Jose, does have some volatility with it doesn't exactly follow the trend of our revenues, but we do expect it for the full year to come in line with plan. And then when you think about 2023 and 2024, there were some variability between the quarters, especially related to some tax adjustments for the tax accounting method changes and some release of uncertain tax reserves. So you wouldn't expect those to happen this year. So just to summarize, we're on track and expect a great year.
Eric Thornburg: And Ann, as I recall, when we built the business plan for 2025, we did assume that Texas would remain in drought. Is that correct?
Ann Kelly: We did assume some level of job for this year, yes, you're right.
Eric Thornburg: Correct. Thank you. Thank you, Richard.
Richard Sunderland: Understood. And then the WQTA opportunity, could you speak a little bit about what the earnings impact of that mechanism might be, how it could impact regulatory strategy in the states? Any other thoughts or considerations? Thank you.
Eric Thornburg: Thank you, Richard. I'll start with Bruce, and then I'll ask Ann to make some comments as well.
Bruce Hauk: Thank you, Richard. WQTA [ph], as I mentioned in my prepared remarks, made it out of a committee, and we're hopeful that, that will be settled June 4 of the year. That mechanism is going to be very much like our existing WICA-like mechanism in Connecticut. However, is designated for those environmental incremental improvements that we need to make from a capital standpoint for recovery. So if you put that in perspective, we had $130 million plus I believe, in Connecticut and another $110 million in California. So we would expect that, that $130 million would be recovered in future filings that would be considered WTTA filings. So, when you look at the entire capital picture, it really improves the regulatory lag that would have may have existed with that type of investment that we didn't have a vehicle other than a general rate case to recover. So, it actually streamlines the improvements, streamlines the recovery and enhances our regulatory capabilities for return in terms of timeliness of recovery.
Richard Sunderland: And I don't expect that, that would have an impact on 2025, but rather reducing the regulatory lag in the outer years?
Eric Thornburg: Bruce, can you refresh my memory on that? Is there a percent cap on the bill in the bill currently anticipated? I don't recall.
Bruce Hauk: There was a cap set at 15%. Obviously, things can change in a regulatory process, but we are hopeful that, that will continue to go through as was approved through committee. To put that in perspective, our WTTA mechanism has a 10% cap.
Eric Thornburg: Operator, are there any other questions for the leadership team here?
Operator: Yes. One moment, please, for the next question, and that comes from Angie Storozynski with Seaport. Your line is open.
Angie Storozynski: Thank you. Congratulations Eric and to all of you guys, actually. So, just one question. So Andrew, you keep talking about potential M&A or you willing necessarily acquire assets. And I'm just wondering, do you have any state in mind. It's not actually easy to find the sizable water or wastewater assets that would be available for sale in your core states?
Andrew Walters: Angie, it's an excellent question. And I would start off by saying is that there are opportunities within the states that we operate in, and particularly the state of Texas is a place that we have had a number of successful acquisitions close with a very positive impact on our business. So that is a prime area that I would expect to see continued activity. In addition to that, we are expanding our views in California. Connecticut may be more restrained on certainly the big opportunities, but there are some additional smaller opportunities that we will continue to work on as well as in Maine. As for other states, we always remain open to other states. As you highlighted, it's not like you just go to the grocery store and you pick a water company off the shelf, they are something that comes by from time-to-time. But that being said, there are still a number of solid opportunities out there for a company our size to be able to look at and engage in, and I would expect us to continue to do that as time goes on. So, I think the key that we stay focused on, though, Angie, is making sure that we deliver the financial results and that the accretion happens in the timeframe as well as the leverage does not go beyond what our stated goals are.
Angie Storozynski: Very good. That’s all I have. Thank you.
Eric Thornburg: Thank you, Angie.
Operator: I show no further questions in the queue at this time. I would now like to turn the call back over to Eric Thornburg for closing remarks.
Eric Thornburg: Thank you again for joining us today. The first quarter was really strong for SJW Group, and we have even more to look forward to in the rest of 2025. We remain committed to investing in infrastructure and exploring solutions to maintain affordability as capital needs continue to grow in the water industry. SJW Group proudly leverages our national platform to support our distinct local operations, all united by a shared mission, delivering reliable service and high-quality water to 1.6 million people across four states. At the same time, we continue executing our growth strategy and delivering shareholder value, including our unwavering commitment to the dividend, which we paid for more than 80 consecutive years. Our success is built on a culture of service to our customers, communities, the environment and shareholders, and I couldn't be prouder of our team whose dedication makes it all possible. This is my last financial results call as President and CEO of SJW Group. It's been an honor of my lifetime to serve in this industry for more than 43 years and I've been blessed with a very talented group of people surrounding me here at SJW Group. I have great confidence that Andrew, Bruce, Kristen and Ann and the rest of the highly motivated and passionate teams across the country will build on the solid foundation that we've laid to continue delivering for customers, employees, communities, shareholders and the environment. Andrew, Bruce, Kristen and Ann are always available for follow-up. As for me, I'll be around until June 30. We appreciate your interest and trust in SJW Group. God bless.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.